Operator: Good day and welcome to the Logitech first quarter financial results conference call. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session, and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without written authorization from Logitech. I would like to introduce your host for today’s call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company’s results for the first quarter ended June 30, 2011. The press release, our prepared remarks and slides, and a live webcast of this call are available online at logitech.com. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments, and we will not repeat them on this call. During the course of this call, we may make forward-looking statements, including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated May 27, 2011, which is available online on the SEC EDGAR database, and in the final paragraph of the press release and prepared remarks reporting first quarter results available at logitech.com. The forward-looking statements made during this call represent management’s outlook only as of today, and the company undertakes no obligation to update or revise any forward-looking statement as a result of new developments or otherwise. This call is being recorded and will be available for replay on Logitech website. Joining us today is Guerrino De Luca, Chairman and acting President and Chief Executive Officer; and Erik Bardman, Senior Vice President of Finance and Chief Financial Officer. I’d now like to turn the call over to Guerrino.
Guerrino De Luca: Thank you, Joe. And thanks to all of you for joining us today. You’ve seen the news that our Board and Gerry Quindlen have agreed that Gerry would step down from his position as President and CEO. I will remain the Chairman of Logitech and will be acting in the President and CEO role until a replacement is found. I thank Gerry for his many contributions to Logitech and I wish him the best in his future endeavors. We expect to fill the CEO position externally and have already begun our search. It’s been roughly 3.5 years since I moved from CEO to Chairman. Much has changed in the world and in Logitech during that time. As demonstrated by the reduction in our market value as well as our latest financial results, we need to significantly improve our performance. And we need to attack the market challenges we face with a greater sense of urgency, and we need to restore the confidence in Logitech among all of our stakeholders. I resume my former job as CEO on an acting basis with an unwavering commitment to Logitech and strong confidence in the company’s future and growth potential. My comments today will focus on three key strategic areas; the Digital Home, PC Peripherals, and the B2B opportunity. Let me begin with the digital home and specifically with the repricing of Logitech Revue for Google TV. We launched Revue with the expectation that it would generate significant sales growth in spite of a relatively high price point and the newness of both the smart TV category and the underlying platform. In hindsight, there are a number of things we should have done differently. But let me be clear on one point. Engaging with Google was the right thing to do. It allowed us to build a strong relationship with the technology leader, which promises to bear more fruits down the road and to develop a thorough understanding of the emerging smart TV market. Looking at $249 price points for Logitech Revue, it was clear to me that there was a significant gap between our price and the value perceived by the consumer. I felt it was critical that we eliminate the gap by lowering the price and making it easier for the consumer to focus on what I believe is an attractive value proposition. We obviously paid a significant price for this decision. But I’m convinced this action will accelerate sales of Revue and allow us to move forward. Our commitment to an enthusiasm for the digital home opportunity is unchanged. We plan to participate in a variety of ways using Harmony as the centerpiece of our strategy and focusing on smart TV, audio and video products and solutions. We continue to believe that the digital home represents a strong future growth opportunity for Logitech. Moving on to PC peripherals, decline of the PC platform is seen by many as being the main cause of Logitech’s recent struggles and poor future prospects. But there may be some validity here. I’m convinced that the analysis is misconceived. The assumption seems to be that the growth opportunity around the PC has come to an end. Yet consumers are still buying great products and the PC in its many incarnation as far from that. The usage model for PC peripherals has certainly changed. Mobility and lifestyle design have become increasingly important. The growth opportunity also varies significantly between product categories and between markets. We will continue to align our resources and prioritize our investment in line with the most promising opportunities witness our focus on iPad peripherals. For those categories in markets with limited growth prospects, we will scale back our spending and maximize our return. Where we see high growth potential such as in emerging markets like China and Russia, we will invest to take full advantage of the opportunity. One of the best indicators I have seen of the ongoing growth potential around the PC is our performance in pointing devices and keyboards across all markets. We’ve delivered year-over-year growth in our pointing devices sales in six of the last seven quarters and year-over-year growth in our keyboard and desktop sales in the last five quarters. All this was achieved during the time of relatively weak macroeconomic conditions, tepid consumer sales, and the exploring popularity of the iPad. We will increasingly differentiate our approach to PC peripherals categories and markets, but we are convinced that there is still growth to be had here with great products that meet the needs of today’s consumer. And that brings me to the B2B opportunity. When I joined Logitech as CEO in February of 1998, I believed that the company had a substantial and largely untapped growth opportunity to expand the presence of its products in the retail channel. At that time, I made our top strategic priority to focus our resources on developing great products for consumers and building a strong retail brand in the process. Looking back, I hope you would agree with me that our bet on retailers stayed off extremely well through the years. And in case my earlier comments did not make it clear, I expect it will continue to pay off in the future. Looking at Logitech today, I see another substantially and largely untapped growth opportunity. And that is B2B. Those of you who have followed Logitech for a while know that we have flirted with the B2B space many times. We’ve never fully committed to it largely because we believe it wasn’t well aligned with our DNA. We didn’t see a strong match between what we do best, which is developing cool innovative products featuring consumer-focused design and the buttoned down enterprise environment. That may have been true in the past, but it is no longer true today. The consumerization of IT has dramatically changed the landscape. The business market is eager to embrace consumer technology and design as the preferences of their employees increasingly rise company choices. In this environment, we believe the Logitech brand will become as relevant as it is in the consumer market. Now we understand that our strong brand alone isn’t enough to drive our success in the B2B space. It also takes a dedicated B2B organization and the right product and solution for the enterprise environment. While we are still in the early stages of our evolution, we believe we are well on our way to get into where we need to be here. The acquisition of LifeSize was our first barrier to entry into the enterprise. We’ve been thrilled with LifeSize success thus far and believe the best is yet to come. The latest announcements from LifeSize are a tangible proof of the strong synergies with Logitech. At the start of this fiscal year, we also redeployed existing resources to create a new group, Logitech for Business. The Logitech for Business team drove the partnership with Jabra and is working closely with the LifeSize team to position Logitech as the only provider today of a complete unified communication offering, including webcams, headsets and video conferencing. The road ahead will be challenging, but we believe that today we bring something unique and compelling to the business market that puts us in an enviable position to add a large profitable and sustainable business to our portfolio. I joined Logitech as CEO over 13 years ago. In my most recent role as the Chairman, I participated in defining the company’s strategy and in many key decisions. I bring a working knowledge of our company, our markets, and our challenges. We will not miss a beat in this transition, and I welcome the opportunity to contribute to our success in our sustainable future. There’s much work to be done, but I’m excited about Logitech’s future and I look forward to updating you on our progress. At this point, we will open the call to your questions. Please follow the instructions of the operator.
Operator: Thank you. (Operator instructions) Your first question comes from the line of Paul Coster representing JP Morgan. Please proceed.
Paul Coster: Yes. Thank you very much. Guerrino, I think over many years you were able to anticipate markets demand very effectively and designed products astutely for that demand. Recently, we’ve seen much more use of acquisitions and partnerships. And so it suggests me that sometimes you are missing markets and having to play catch-up through third parties. Can you respond to that observation first of all? And second thing related really is, as you go into the business-to-business market, which – obviously there’s many developed channels in existence for a fragmented regional market in some cases. Can you give us some sense of how long you think it will take to develop the channel strategy necessary to be effective in that market?
Guerrino De Luca: Thanks, Paul. Thanks for the question. On the first one, when we introduced our partnership with ZAGG to introduce our first of many iPad peripherals and accessories, I heard that comment, saying, well, couldn’t have you done it by yourself. We announced more recently a partnership with Jabra, and I believe your question sort of refers to these two kind of examples. On the first one, I think that we proved this time to market. We were a little bit late in looking at the iPad. And so we felt that we had a great product out there and a great partnership we had to just kick start in fact. The product is doing very well out there, but it’s not the only and not the most important product that we have and we will have for the iPad market. So, don’t read anything more than a slight delay in figuring that out, let’s say, in the past 12 months. At this point, I think we are fully caught up on that front. I’m not saying that we will not partner with other people in this category or others, but it is going to be complementary as opposed to a replacement for our own innovation strategy. Jabra is a totally different thing. Here we saw the opportunity to be the first to bring a full product line to the UC market, and we needed existing product for another company that has been very active on that front. It’s a good thing for them. They just opened up the US market for us. It’s a great thing for us because we can now offer a full lineup. So I would say that that’s a replacement for internal development. That’s more of a move to make sure that we had a full portfolio right away out of the box. On the channel question, good point. The nature of the products we sell, if you exclude LifeSize for a second, which has its own channel, and we hope to leverage their channel to bring UC products to the marketplace. The nature of the products we’ve sell is not such that it required substantial sort of installer and support. It works very well through traditionally established distribution channels that serve the enterprise market. We have contacts. We have worked at length with these channels, and we believe this offer will only strengthen that relationship. So I do not expect a significant channel building delay. In fact, I believe that this business strategy will begin to bear focus this fiscal year – bearing fruits this fiscal year.
Paul Coster: My last question is, on the Revue product, two things. One is, I think it was obvious to many of the analysts that the product was mispriced from the get-go and it sort of suggested that the company had (inaudible) there, which is unusual for you. You’ve been suggested [ph], as I said before, on sort of understanding the market. I just want to understand what went wrong there. And then secondly, did I hear you say that the Harmony product is now the center to digital home strategy? Does that mean that the Revue product is being discontinued?
Guerrino De Luca: No, it doesn’t mean that. Thanks for asking again. It means that the Harmony technology, which is by the way one of the essential component of our offering in Google TV. The biggest differentiator of our value-add in Google TV is actually the Harmony ingredient. So you should take that statement with a grain of salt. I said our digital home strategy is going to be based on smart TVs, Harmony technology and products, video and audio. It’s much broader than Harmony. Harmony is a key component, but it’s not the component for the digital home strategy. On Revue, what went wrong? What can I say? I think at the beginning we believed fully in the fact that the price point would justify that the richness of the offer was such that the consumers would have seen that value. And so you’re right. We were wrong. And partly due to the fact that Google TV has not yet fully delivered to its own promises witness the absence for now over enough [ph] market, which I believe is a unique differentiator between Google TV and other competitive approach, as well as some sort of evolutions that are needed in content (inaudible). That said, I made this decision, the decision of cutting the price of planning to cut the price for three reasons. And therefore I can say in summary that I agree with you that we misvalued what the consumers saw in the box. That said, at $99, it’s an incredibly appealing proposition. And if you add to that the incredible value of that plus our TV cam, that would enable you to have a truly social radio communication experience in your reading room for $250 or less. It’s unheard of, and I believe the consumers will see that.
Paul Coster: Great. Thank you very much.
Operator: The next question comes from the line of Michael Foeth representing Vontobel. Please proceed.
Michael Foeth: Yes. Hi, Guerrino. I have two questions. Starting with remote controls, obviously very weak quarter there. You gave some explanation in your prepared remarks, but could you go into more depth? I mean, it was really a sharp drop into where do you see the growth coming from in the second quarter. And the second question goes back to Revue again. Will you still be able to generate margin from that at the lower price?
Guerrino De Luca: Let me answer that in part for Harmony question and maybe Erik would want to comment on this. Let me distinguish between the bad performance of EMEA and the bad performance of AMR – relatively poor performance of AMR. In EMEA, I’m afraid we have to put the performance of Harmony in context of a very difficult recovery of our business in EMEA. And let me say that of course we made a lot of progress. Our channel situation is significantly better across the board, not just for Harmony. But we’re not there yet, and it will take more time for us to run all killing version [ph] in EMEA. So EMEA-Harmony issue is an EMEA issue. The Harmony issue in AMR is but largely due to a couple of things that are in incredibly difficult comparable with Q1 last year when we introduced a series of products. And of course, when you look at that, you can realize that it hurts on the short-term. Second, we also saw – I realize that one of our customers pulled in a significant promotion that was planned for Q1. They pulled it into Q4, which obviously boosted our performance in Q4 substantially, but of course hurts now. So I – we’ve also made some moves in the channel and pricing the product because we believe we have a tremendous opportunity in the segment of the market that we have not fully addressed yet. So I would call the Harmony problems in AMR specific of this quarter because of what I told you. Let me continue on Revue. You specifically asked a question on whether we would sell this with less margin selling it. The rules of the game here in accounting are such that you take a lower cost of market charge on the basis of what is fundamentally a breakeven proposition. We will see of course there are multiple things that change channel mix and Harmony accessories can we add on top of this. It’s kind of freaky to say, but this is not going to be our most profitable line, let’s put it this way. But it is absolutely essential that we widen penetration, because as you remember, the main reason to be in this business was to create a large base not to sell many boxes. Now, we’re going to sell many boxes too, but that was more of a calculus than a long-term strategic intention. Erik, do you want to add anything?
Erik Bardman: Yes. The only thing I would add – and I think, Guerrino, you did a very good job capturing it. Back to your question about Harmony sales in the Americas, so even though it was down in the quarter, there are a couple things that we look that make us feel good about the health and getting back to growth in Q2. Our connections number, these are the new Harmony remotes that are set up within the quarter in the Americas, were up 13% year-over-year, which is a nice indicator. The other thing too is within the quarter for the Americas is we gained dollar and unit share. That leads us to the other part of your question as to why we feel confident that we will see a return to growth for Harmony sales in the Americas in Q2.
Michael Foeth: Okay. Thank you. And then maybe just a last one on share buyback, still wondering what you’re waiting for to buy back your own shares.
Guerrino De Luca: Yes. Michael, to give you some sense on that, the way I look at it and I think strategically the way the company looks at it, it’s really a question about how do we use excess cash in the company. And we’ve been very clear I think that we have three priorities and those are unchanged. First and foremost, it’s investing in the working capital to run and grow the business, to make sure that we’re funding the things that are really going to drive growth both now and over the long-term. And then the other two priorities are repurchases and acquisitions. So those priorities haven’t changed. The other thing that we also tried to make sure we’re clear with folks on is we continue to target a cash balance of about 20% of our trailing 12-month sales. We feel that’s the appropriate level of cash to have, both in this macroeconomic environment as well as to effectively run the business. We ended the quarter at about $476 million in cash, which puts us almost squarely to 20% level. The reason I say that is that the odds of a repurchase become a little bit higher when we get above that level, but any one point in time when we’re in that excess position, we’ll take that and other variables into consideration, but to bring it back is really the same strategic priorities in focus for us is how we think about how we use our cash.
Michael Foeth: All right. Thank you very much.
Operator: The next question comes from the line of Simon Schafer representing Goldman Sachs. Please proceed.
Simon Schafer: Yes. Thanks so much. Actually, Guerrino, I was wondering just in terms of your own thoughts on the initial priorities for a new CEO. I’d be interested in your perspective as to where the primary senses of urgency lie. Is it reshaping the PC portfolio? Is it really getting the initial stages of the B2B strategy lies? Or is it accelerating digital home? I just wonder where the priorities lie as you have taken over that initial – that role for now and looking for a replacement. Thank you.
Guerrino De Luca: Thank you, Simon. It’s nice to be called the new CEO. The answer for your question is yes. This is not a one trick pony business. It would never be. In fact, one of our historic approaches to this was to have a portfolio of businesses and make sure that we can compensate weaknesses in one with strength in other. And I think we have a significant work to do across all the lines of the portfolio. Yes, I mentioned my point of view on the PC. Just put aside the emerging markets, which are such an obvious and tremendous opportunity for us, and we are taking advantage of that. Let’s concentrate on where to worry about, which is mature PC markets. I do believe that not every apple is the same there. And no pun intended with the reference to apple. We have been behind on the Mac. We are going to have to fix that, and we are fixing that. I think we will come up with product that’s specifically designed for Macintosh and so that’s going to help. But beyond that, as I said, there are categories that are obviously categories with which there is not much growth (inaudible). So what’s the nature of the Bs? The nature of the PC today. Other categories are in fact wrongly considered as non-growth. I contend that the category that is most wrongly considered as non-growth is keyboards. And in fact, I’ve heard – can we all agree that the keyboard category has gone? In fact, no, we can’t. And in fact, the numbers are showing that it isn’t. In fact, I contend that the growth of tablet and iPad will benefit keyboards but for laptops. And the reason why I believe that is that people will increasingly travel with their travel or iPad and will increasingly use the laptop in a stationary way, which demand more comfortable peripherals like keyboards and mouse. So yes, we will focus on reshaping and recalibrating the PC portfolio according to both views. Yes, we will focus on the digital home because I do believe that we have a tremendous untapped opportunity in areas like music, for which we have not done well enough beyond our focus on PC speakers. We have had good products here and there, but never a strong consistent and sustained strategy. Music, together with Harmony, will be a big player in digital home. And yes, we will focus on B2B. I have not much to do add to what I said in the prepared comments. I’m very thrilled about it. For the consumer guy that people perceive me to be excited about this opportunity means that I truly believe that things have changed dramatically in the business market and we have an unique opportunity. The LifeSize acquisition, which I hope many of you now believe is a good thing, in fact it’s one of the greatest things that Gerry did, is a foundation that would bring us very, very far away in the future.
Simon Schafer: All right. Okay. Thank you very much. And my second question would be more financial in nature. You made sort of an indication on what your gross margin may be in the fiscal year ’12. It’s sort of unusual. I guess what were the reasons? Is it just that pricing dynamics are too variable right now? Is it a question of input price inflation? I just wonder why that’s an omission there? It’s unusual. Thanks.
Guerrino De Luca: The decision not to include a gross margin percent guidance or outlook is mine. I talked to you about – just a moment before ago about recalibrating the portfolio of our products and understanding where we’re going to put more emphasis and where we’re going to put less emphasis, where we’re going to spend our money in OpEx versus where we’re going to spend our money in gross to net. That leads to some uncertain – not enormous uncertainty as to where the percentage of gross margin will fall. It has much less to do with the external environment and much more to do with a reassessment of the portfolio and the product-line-by-product-line priorities that I need to go through in the coming weeks.
Simon Schafer: Great. Thanks so much.
Operator: The next question comes from the line of Andrew Gardiner representing Barclays Capital. Please proceed.
Andrew Gardiner: Thanks very much. My first question is on Google TV and the Revue box. You highlighted in your prepared commentary the pending enhancements of the Google TV platform software update. I’m just wondering, first of all, so your expectations as to when that’s going to come through. And also, will it allow for a change in architecture of the box so that that can be redesigned to help the margin profile of that particular product?
Guerrino De Luca: The question as to when (inaudible) of Google TV will come. It’s high in our mind. Google has updated and repeated that it would be by the end of September. We expect that to be the case. As I said in my prepared remarks, it’s a major update to the platform. It’s what the platform should always have been, particularly the addition of the Android apps for the TV. The good news is that all these beautiful new things will run on the existing box. They will not need any of the architecture boxes. They will just completely be available to people that bought the first Revue box a year ago. So that’s good. That’s one of the reasons why we feel confident that this price move is going to accomplish a lot and going to help us proliferate both the old and the new Google TV out there. So we do not plan any change in the box because of this change in Google TV.
Andrew Gardiner: But as you suggested, it won’t be as profitable at the current price point quite obviously as you originally planned for or that you might be able to change over time to improve the profitability of that line.
Guerrino De Luca: Let me (inaudible) from discussing future products or trends here. I prefer not to answer the question.
Andrew Gardiner: Okay. And also just quickly, on the B2B opportunity, we have to invest in your own sales force more in order to target that market or is it something you think you may be able to target more through the sort of distribution network?
Guerrino De Luca: We are investing on our sales force on LifeSize. When it comes to the rest of the opportunity, no. It’s not going to be meaningful to break sales investment on the Logitech for Business side.
Andrew Gardiner: Thank you very much.
Operator: Your next question comes from the line of Jonathan Tseng representing Merrill Lynch. Please proceed.
Jonathan Tseng: Hi, Guerrino. Two questions. The first one just on I guess the internal productivity. I mean, (inaudible) you have maintained the R&D investments with a downturn and you have produced innovative devices before and after (inaudible) keyboard. But I kind of feel they haven’t been – that they are kind of being very high in innovation, but they haven’t been gone to the mass market. Just do you feel you have to retool how your R&D engine was, the productivity there (inaudible) need to make it work or how do you think about the issues there, or is that an issue there? And I’ve got a follow-up question after that.
Guerrino De Luca: Thanks for the question. I’m a product guy, so I’m very passionate about what we do in product development. And I have been – and I’m eager to get back there and figure out how much better we can do. No, I don’t expect a major retooling in R&D. We have great engineers and focus on the right thing. They have to live in a world of a higher sense of urgency and targeting what they do, particularly the understanding of what the consumers want today. And so I’m very confident on our ability to do that, and I will leave it at that.
Jonathan Tseng: Thanks. And then just (inaudible) coming on further different angle. I mean, in consumer (inaudible) differentiates most of the knowledge due to your digital product differentiation. You will use that scale. I mean, apart from Microsoft, you guys are the guerilla in consumer peripherals. I guess, enterprise, you’ve got sort of differentiation, but you won’t have the scale and you will be the smallest guy to party in terms of competition, in terms of distribution, channel and customers. So how do you address that challenge? How do you build the position when you’re the smallest guy in the room?
Guerrino De Luca: Well, first of all, in the part of the business market where we’re going to increasingly play and you’ll see we are not at all the smallest scale. Every bit of scale that we have in the consumer market plays there. We will be the largest provider in what comes across the board in video communication, and that is obviously leverageable entirely in the enterprise market. So I disagree. We are not maybe the guerilla, but we’re not small at all in the UC space. And by the way, we are the only one that provides both audio and video and video conferencing, which makes us the guerilla by definition in a world where nobody else does it. On LifeSize, it’s a very good point. We have the third player out there, but boy, we’re gaining share, and boy, we have a disruptive offering. The way you win when you are small. And look at what we did with remotes. We were nobody in remotes. The way you win is by disrupting the market. We created Harmony, which is sort of destruction of the market. We are creating now the LifeSize offering and you’ve seen the latest offers that I’m very excited about. We have something that nobody else does. And we will use that disruption to compensate for scale. Then one day, scale will come and we will have an expert conversation [ph].
Jonathan Tseng: Thanks so much.
Operator: The next question comes from the line of Andy Hargreaves representing Pacific Crest. Please proceed.
Andy Hargreaves: Thanks. Just staying on LifeSize real quick, the real strategy and sales down sequentially just given the bookings growth last year and stable demand that seemed like in the market. So can you just describe that dynamic in thinking about the progression of bookings wrong and did you maintain share in the quarter?
Erik Bardman: Sure, Andy, I can give you some perspective on that. So the sequential decline in revenue for LifeSize was really related to some timing issues on deferred revenue between Q4 and Q1. And to give you a sense of why we feel very good about the top line growth and expansion at LifeSize within the quarter and going forward is when you look at the billings for LifeSize, they did increase 6% sequentially and we reached a record all-time high for billings in the quarter for LifeSize. So LifeSize is doing very well on the top line. And as we look forward, we’re very excited. You heard Guerrino talk about it. We’re very excited not only about what they are doing today, but there was a series of announcements that LifeSize made in the last two weeks that really gives you a sense of how fast we see this growth where we’re going to continue to invest, but feel very good about where LifeSize is positioned right now.
Guerrino De Luca: We expect this sequential performance to continue throughout the year. I mean, the one that we highlighted. So we expect, to be very clear, continued sequential growth of LifeSize throughout the year.
Andy Hargreaves: Okay. And then the creation of Logitech for Business, does that change at all in the pace of global expansion?
Guerrino De Luca: I’m not sure I understand fully the question on the base of global expansion. What we did is put together existing resources and given them an exclusive mandate to address the UC and channel Logitech for Business opportunity. That’s what we have done. It’s a global scale undertaking. This is not something that applies to one specific region, but I’m not sure I completely understand –
Andy Hargreaves: The question is just, I mean, it seems like it’s based around UC, which most of your business, as I understand it right now, is in the US. So, does it change? How fast do you try to expand into Europe or Asia Pac with that effort?
Guerrino De Luca: I would not agree that most of our business in the current audio-video offering that at the base that you see are in the US. I would say that we are certainly further ahead in establishing a strong relationship with the distributors that actually are useful to this undertaking in the US. But we’re not talking a generation behind here. So yes, this is the global undertaking.
Andy Hargreaves: Okay. Thanks.
Operator: The next question comes from the line of John Bright representing Avondale Partners. Please proceed.
John Bright: Thank you. Guerrino, typically Logitech has been viewed as a brand marketing and distribution company. You are talking about more on the B2B side now. How much are you going to need to change the culture DNA to focus more on the I guess R&D side of the equation to go after that market?
Guerrino De Luca: I don’t want to answer with a provocative statement because – and please take this with a grain of salt. I don’t think Apple changed one bit when they saw the explosion of iPad and iPhone in enterprise. But we’re not Apple. We don’t have an iPhone and iPad. So, don’t get me wrong. What I strongly believe today – I was in the past. We’re talking 10 years ago, five years ago, not very excited to consider going into the enterprise because I thought that we would all have to wear suit and ties and we would have to deny the roots of the company. I completely do not believe that any longer. I think that the enterprise market is ready for products of the past that are naturally attractive to the consumer. The enterprise employees are consumers at the end of the day. The famous consumerization of IT is not just a slogan, it’s reality. I see it in our company. The kind of things that employees demand are consumer products. Thanks a lot we have a lot of them. So we didn’t have to spend a lot for third parties. But I see that the world has changed. We have not. So I believe that we don’t have to change our DNA to fulfill that market. Now, I’m a pragmatist. We needed a portfolio. You just don’t go there with a brand, and that’s what we did by putting together the LifeSize acquisition and most recently the partnership with Jabra on the audio side. And so we have a portfolio. We need a dedicated group of people that focus there. So this is not going to happen just because of the consumerization of IT, but it’s going to be absolutely enabled and will allow us not to have to change our DNA to get there.
John Bright: Second question is on the emerging markets, China, India. How do you see the traditional products in that market and the platforms that developing? Do you still think that we’re going to see the desktop and evolve the laptop into the tablet? Are we going to skip strictly to the laptop maybe then to tablet in that market?
Guerrino De Luca: I definitely believe this is going to be an accelerated development. I think it’s a great thing that we are growing substantially and therefore establishing a strong brand in a number of markets, China being the first example. Everybody is growing in China – maybe not everybody. But we’re growing really, really strongly here and not from their small base at this point. So, to me, the most important strategic value of this growth and investment in the emerging market is not only the capturing of the existing opportunities, but the reading us for the next step, which will come faster. I agree with you. In fact, I’ll not be surprised that if we began selling non-PC products in these emerging markets quite soon. So it’s critical that we take advantage of the current conditions that see a still bland PC market there. Nobody denies that. But no, we’re not counting on the fact that this is going to be the same and at the same pace of the developed market, not at all. We are completely prepared and in fact eager to be able to expand our brand in the consumer space beyond the PC platform in emerging markets.
John Bright: Guerrino, welcome back albeit short-term.
Guerrino De Luca: Thank you.
Operator: (Operator instructions) Your next question comes from the line of Ashish Sinha representing Morgan Stanley. Please proceed.
Ashish Sinha: Hi, just a couple of questions. Thinking about some of the newer initiatives you guys have been taking in, A, the Revue price cut; your distribution arrangements with ZAGG, Jabra; your increasing focus on enterprise. I was trying to think in terms of how does that consulate into longer term gross margins because – am I right in thinking that gross margins is essentially where you will have to take the hit with these sources becoming more prominent in your top-line?
Guerrino De Luca: First of all, let me clarify. I do not think that these sources becoming more prominent even after a statement. Do not confuse tactical opportunities with our approach to growth across both business and consumer markets. We are a product company. We will continue to be. We invest in R&D. We have our own innovation. So, no, not at all. I don’t think that the – I do not identify this as a new model and new behavior for Logitech. This is practical in nature. I’m very excited about both things that we’ve done, but don’t read anything more than what it is there. On the margin question, I would say that obviously one of the main drivers of our long-term model is the belief that some parts of our business will drive higher gross margins and with the LifeSize. So there is a benefit in that approach to the broad enterprise market. It is in gross margin. But of course, it comes also with expenses. So we’re talking about a total revolution, but yes, it is net-net our broader approach to consumer and the business market will lead to higher gross margin from Logitech, yes.
Ashish Sinha: My next question is on emerging markets and the steps you took in China kind of benefiting Tier 3, Tier 4 and much more deeper into those markets. Could we expect something similar in other emerging markets very soon based on the China model? And what timeframe do you have for that? Thank you.
Guerrino De Luca: We are already active in several if not all the markets that we want to play in. We’re certainly very strong in Russia. We are growing in India. We are targeting Latin America. And I choose the words carefully here. We’re certainly further ahead in Russia and then in Indian, then we are in Latin America. That’s probably the next big opportunity. However, there are lessons we learned in China and the lessons do not include the fact that the China model is the only model. The model that works for China works for China. It may be replicated occasionally in some other places, but it’s not the footprint and that’s sort of the framework. There are other ways to get there. And so each of these large markets will require a custom approach. All of them are very promising. Nothing is going to be as big as China. Maybe I’m wrong. But we will learn from China and we will adapt China to other markets. The other thing you shouldn’t forget is that there are incredible lessons and leverage between what we are doing in China and other emerging markets vis-à-vis what we’re doing in mature markets. And one of the best long-term benefit of our engagement in China and India is reading the new consumer, because believe me, that is the new consumer. And sooner or later we will – that will be the dominant consumer. And at this point, we want to connect to that consumer and see what that consumer likes.
Ashish Sinha: Great. Thank you.
Operator: Your next question comes from the line of Tavis McCourt representing Morgan Keegan. Please proceed.
Tavis McCourt: Thanks for taking my questions, and I have a couple as well. If I look at the tablet portfolio you guys have now, just a couple on iPad, a couple on Android, how significant should we expect the breadth of product offerings there to expand this year and next versus how much are you still doing R&D to figure out what peripherals people may want? And then secondly, on the UC opportunity, UC tends to be defined differently by every company that’s attacking it at different angles. What are the actual products that you guys prospectively selling to an opportunity? And will all of that leverage the LifeSize channel or do you have to make new retailer relationships to sell some of the products? Thanks.
Guerrino De Luca: All right. Let me try and answer both questions. On the tablet size, you haven’t seen the majority of it yet. So the portfolio at the end of this fiscal year and hopefully for Christmas will be substantially larger. And we’ll cover more category, and I will leave it at that. So it’s a real opportunity. We are becoming the leader in supplying certain class of products for the tablet market. It remains to be seen how big this market is. We will believe it big, but who knows. On the UC front, you’re right. UC is one of those cash forwards that not everybody uses to their own advantage. That is not a case. We’re talking about video, webcams. We’re talking about headsets. We’re talking about video calling and video conferencing, both at the desktop level and at the room level and at the enterprise level. So that’s what we mean by UC. We will use the LifeSize channel in part. We will use existing relationship with distributors that are targeting retailers that are serving that market, and we are developing programs for those guys and retailers to carry our product. So it’s a combination of the existing market, which – the channel which is being developed, but LifeSize is not there yet in building a channel. That’s one of the investments we are making on that front. And sort of leveraging existing relations with distributors adding specific programs targeted to retailers and retailers are targeting enterprise.
Tavis McCourt: Great. And Guerrino, did you comment about the timing of a CEO search and whether that would be both internal and external candidates?
Guerrino De Luca: I said that the search is external. I don’t have a target timing. We have started the search. I’ll be here so long as it takes until we find the right guy or girl.
Tavis McCourt: Thanks a lot.
Operator: Ladies and gentlemen, that concludes our conference call for today. You may now disconnect. Thank you.